Operator: Good morning, and welcome to The New York Times Company's Third Quarter 2025 Earnings Conference Call. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Anthony DiClemente, Senior Vice President, Investor Relations. Please go ahead.
Anthony DiClemente: Thank you, and welcome to The New York Times Company's Third Quarter 2025 Earnings Conference Call. On the call today, we have Meredith Kopit Levien, President and Chief Executive Officer; and Will Bardeen, Executive Vice President and Chief Financial Officer. Before we begin, I would like to remind you that management will make forward-looking statements during the course of this call. These statements are based on our current expectations and assumptions, which may change over time. Our actual results could differ materially due to a number of risks and uncertainties that are described in the company's 2024 10-K and subsequent SEC filings. In addition, our presentation will include non-GAAP financial measures, and we have provided reconciliations to the most comparable GAAP measures in our earnings press release, which is available on our website at investors.nytco.com. In addition to our earnings press release, we have also posted a slide presentation relating to our results on our website at investors.nytco.com. And finally, please note that a copy of the prepared remarks from this morning's call will be posted to our investor website shortly after we conclude. With that, I will turn the call over to Meredith.
Meredith Kopit Levien: Thanks, Anthony, and good morning, everyone. Q3 was another great quarter across the board at The Times. Our results affirm that our strategy is working as designed. We have world-class journalism and a portfolio of leading lifestyle products in giant spaces where people spend a lot of time. Those products are so valuable that people seek them out by name, form habits and make room for them in their daily lives. And our multi-revenue stream model with subscription, advertising, licensing and affiliate revenue lines that are all growing gives us multiple ways to monetize that value. The media and technology environment is changing rapidly, presenting significant opportunities for companies with the talent, products, intellectual property and brand equity to successfully capitalize on those shifts. The Times is one of those companies. We have a long track record of evolving to meet changing markets and new consumer needs. That, combined with our clear strategy and strong economic foundation gives us real confidence that we're well positioned to keep building a larger and more profitable company for years to come. Now let me share a few highlights from the quarter. We added 460,000 net new digital subscribers, bringing our total subscriber base to 12.3 million. This puts us further along the path to our next milestone of $15 million. These results reflect the value of having multiple levers across our full product portfolio to drive subscriber growth. Digital subscription revenue increased by 14% in the quarter, propelled by strong audience engagement across the enterprise. That engagement is evidence of our continued ability to deliver increasing value to users. We're doing this in several ways by expertly and ambitiously covering the most important news, by expanding our efforts in video, audio and AI to make our reporting more accessible to more people and by making each of our products more valuable with new content, shows, features, games and other enhancements. In Q3, we advanced all these priorities. We substantially grew the amount and impact of our video journalism in news and across the portfolio, both on our platform and in the scaled places where people are consuming it. We've now turned most of our award-winning podcasts into video shows that demonstrate both The Times convening power and our ability to influence the conversation across news and culture. We made video a more prominent part of our flagship Times app with a new watch tab and featured placements on our home feed. In cooking, we're expanding the library of both instructional videos and entertaining shows. And at The Athletic, we are now enhancing our signature analysis and reporting with NFL game footage. We also continue to innovate around our use of AI in the quarter. More and more people are using automated voice to engage with our news report. We're using AI to improve personalization, targeting and monetization across our customer journey, marketing and ad products. And AI now powers features like metric conversion on recipes and richer search on Wirecutter. Beyond video and AI, we keep adding value to our games portfolio. This quarter, we launched a new logic puzzle, Pips, which is off to a great start. Turning to advertising. We had another really strong quarter with digital advertising growing over 20% and total advertising growing nearly 12%. This performance reflects how our strategy to create a larger, more durable digital ad business is working. That entails having a portfolio of compelling products in spaces with broad marketer appeal in addition to news, particularly sports, games and shopping, a large engaged audience that marketers can target effectively and a growing supply of high-performing ad products across a range of formats. Licensing and affiliate revenues also grew in the quarter. The growth in licensing, in particular, is another proof point for how we're able to monetize the increasing value of our products. Finally, we stayed disciplined on expense growth in the quarter even as we invest into our journalism and product experiences, which is a source of our long-term advantage. I'll close with a few thoughts on our path ahead. What we do has never been more important or more valuable. Our independent journalism, trustworthy information and compelling product experiences help people understand the world and lead richer, fuller lives. Even in an environment where the moves of big tech companies are leading to less and less traffic for publishers, we see large and persistent demand for what we do. Against a backdrop of a changing ecosystem, we are confident in our ability to widen the number of people who use and engage deeply with The Times on and beyond our own platforms. That means becoming even more essential to even more people. And as we do that, we expect to deliver even more value for shareholders and for society. With that, I'll turn it over to Will for more details on the quarter.
William Bardeen: Thanks, Meredith, and good morning, everyone. As Meredith described, our 2025 third quarter results demonstrate another strong quarter for subscriber growth, revenue growth, AOP growth, margin expansion and free cash flow generation. We saw healthy growth across our multiple revenue streams again in the quarter and continued to make disciplined investments aimed at further differentiating our high-quality journalism and digital products. Year-over-year, consolidated revenues grew approximately 9.5%, AOP grew by approximately 26% and AOP margin expanded by approximately 240 basis points. We generated approximately $393 million of free cash flow in the first 9 months of the year, which reflects our capital-efficient model. We also benefited in Q3 from lower cash taxes paid due to the recent change in tax law that allows us to fully deduct R&D expenditures in the current year. Over that same period, we returned approximately $191 million to shareholders consisting of approximately $110 million in share repurchases and approximately $81 million in dividends. This is consistent with our capital allocation strategy of returning at least 50% of free cash flow to our shareholders over the midterm. Now I'll discuss the third quarter's key results, followed by our financial outlook for the fourth quarter of 2025. Please note that all comparisons are to the prior year period unless otherwise specified. I'll start with our subscription revenues. We added approximately 460,000 net new digital subscribers in the quarter, bringing our total subscriber count to approximately 12.3 million. Subscriber growth came from multiple products across our portfolio. We also continue to be pleased with the rollout of our family plan subscription offering. Total digital-only ARPU grew 3.6% to $9.79 as we stepped up subscribers from promotional to higher prices and raised prices on certain tenured subscribers. We continue to be encouraged by the results we're seeing at pricing step-up points, which we believe reflects the value we continue to add into our products. As a result, we remain confident in our ARPU trajectory. With both higher digital subscribers and higher total digital-only ARPU in the third quarter, digital-only subscription revenues grew approximately 14% to $367 million. Total subscription revenues grew approximately 9% to $495 million, which was in line with the guidance we provided for the quarter. Now turning to advertising revenues. Total advertising revenues for the quarter were $132 million, an increase of approximately 12%, which is higher than the guidance we provided for the quarter. Digital advertising revenues also came in above the guidance we provided, increasing approximately 20% to $98 million. The strength in digital advertising was due mainly to strong marketer demand and new advertising supply. Affiliate licensing and other revenues increased approximately 8% in the quarter to $74 million, primarily as a result of higher licensing revenues. Adjusted operating costs grew 6.2%. This was just above the 5% to 6% guidance range that we provided last quarter. Adjusted diluted EPS in Q3 increased $0.14 to $0.59, primarily driven by higher operating profit. I'll now look ahead to Q4. Digital-only subscription revenues are expected to increase 13% to 16% and total subscription revenues are expected to increase 8% to 10%. Digital advertising revenues are expected to increase mid- to high teens and total advertising revenues are expected to increase high single to low double digits. Affiliate licensing and other revenues are expected to increase mid-single digits. Adjusted operating costs are expected to increase 6% to 7%. We intend to continue operating efficiently while making disciplined investments in our high-quality journalism and digital product experiences that add value for our audiences. In summary, our essential subscription strategy is continuing to work as designed with a valued product portfolio, multiple revenue streams, significant free cash flow generation and a strong balance sheet, we believe we are well positioned to navigate a dynamic market environment. As we enter into year-end, we continue to expect healthy growth in revenues and AOP, margin expansion and strong free cash flow generation for the full year. With that, we're happy to take your questions.
Operator: [Operator Instructions] Our first question comes from Thomas Yeh with Morgan Stanley.
Thomas Yeh: Two, just on the video formats, I was hoping you could dimensionalize the opportunity around that push. I think the big focus sounds like it's centered on building engagement and brand. But I guess, how should we think about how it affects advertising? Do you see this as maybe another aperture for expanding into video advertising opportunities? And then also maybe just touching on what kind of incremental investment needs this push might entail? And then secondly, on the family plan, it looks like it now represents 2% of your digital-only subscriber footprint and looks like it also came through predominantly on the game side versus the bundle. Can you talk about just what stage of the rollout you're in? And if there's any appetite to push further on that in terms of maybe restricting sharing somehow on your non-family plan?
Meredith Kopit Levien: I'm happy to take both those questions, Thomas. Let me start on video. I think the first thing to say is we think it's a big opportunity for the company, and we're in early days of it. We know lots and lots of people are seeking out and getting their news and the other kinds of content we make in the form of video. And so we think having more video gives us a big opportunity to engage the people we already have more and to engage even more people and to do that both on and off our platform. And you asked specifically about advertising, I'd say we are early here. Our first priority is to do what I've just described, which is to drive more engagement. And ultimately, having a wider engaged audience is what drives every part of our business, subscriptions, advertising, affiliate licensing. So we just think -- we think this is a really important part of our go-forward growth plans, and we're very excited about what we're doing there. On family plan, we are really excited about this. We're -- it definitely played a role in the quarter. Family plan is good in a bunch of ways. It's good for market penetration. There, you can think of it as the subscribers we already have, bringing in other subscribers. And because the family plan subscription is priced at a premium, it's additive to subscription revenue. It's great for engagement. It's great for retention. And then I think you asked specifically about it's weighting to games versus the bundle that is not. I would not think about it that way. I would think about it as we've presented a family opportunity in both the bundle and in games, and we are really excited about the performance of both.
Operator: And the next question comes from Benjamin Soff with Deutsche Bank.
Benjamin Soff: I was wondering if you could talk a bit more about the growth rate in OpEx for 4Q, kind of what's driving that higher growth rate? And should we expect that to continue at similar levels going forward? And then on capital allocation, your cash balance has continued to grow nicely even as you've been returning 50% of free cash flow to shareholders I wanted to check in and see what your latest thoughts were there and how you might potentially go about deploying that cash.
William Bardeen: Sure. Thanks. I'll take both of those. So look, on the cost for Q4, the guidance -- and this is relevant to Q3 and going forward, I think the most important thing I always want to say stepping back we remain focused over the long term on sustaining healthy revenue growth, AOP growth and margin expansion. So everything we talk about in cost is in the context of that. Now we do that -- our approach to that and our strategy is to be both disciplined in costs and efficiency, but also making long-term investments that are helping to further areas that best position us for sustainable growth. And that's our world-class news journalism lifestyle products. and the product development that underpins our content. Now that includes areas like video, which Meredith said in her remarks, which we're excited about. So specifically, to your questions on Q4 and Q3, a couple of things we're seeing there is that continued investment into the journalism products, so areas like video. We also have, as you see in Q3 results, and you can expect in Q4, flexibility to lean into areas like sales and marketing when there are good returns in the market or when we see a good opportunity for a great brand campaign. We had to have one in the market now. It's a world to understand, which we really like. And then the last thing to note is that there can be some variable expenses correlated with revenue performance that can lead to fluctuations in any given quarter. This played a bit of a role in Q3. It could well end up playing a role in Q4 as well. So that disciplined approach overall to being really focused on cost efficiency while also making investments is what you're seeing in our cost performance throughout the year as well as in the Q4 guide. There's a question on capital allocation...
Anthony DiClemente: Capital allocation, okay, go ahead.
William Bardeen: Yes. On that one, I would just say no change in strategy there. We believe the capital allocation strategy is working really well for us. So the key thing is top priority for us has always been we have at a core, our organic growth strategy, essential subscription strategy, so investing into high-return opportunities to continue that growth. We just mentioned video, for example. And then to this point of Meredith talked about in the remarks, a dynamic market environment. We like having a strong balance sheet that gives us optionality to capture opportunities should we see them, including opportunistic additional capital return. That's at least 50% is our -- is the capital return target. And then it's just worth making sure to reemphasize that our bar for capital allocation is really, really high. So you've seen that in our track record thus far with any M&A we've done, and you can expect us to continue to have that very high bar going forward.
Operator: And the next question comes from David Karnovsky with JPMorgan.
David Karnovsky: Maybe following up on the Watch tab. I wanted to see if you could speak a bit to the functionality of the product. Is the goal to make that highly personalized ? Or are you also kind of highlighting top stories and other parts of the coverage? And how do you think about the process of inserting ads there? And then just secondly, regarding other single product, I think this is the best quarter for net adds on record. Maybe you could just break that down across the various single products and for games specifically, how material were factors like putting mini crossword behind a paywall or PIPs, which you rolled out in August?
Meredith Kopit Levien: I'm happy to take both of those, David. Thank you. Let me start with video and the Watch tab, and I'll step back just a little bit and note a number of things we're doing in video and the Watch tab is kind of one of them. We now have on our site and in the app substantially more news video on whatever the major stories of the day are. We have many more reporter videos with reporters essentially explaining their work and humanizing the journalism. That's great for enhancing trust, and it also serves as a teaser to longer-form work that we do. We turned most of our podcasts now into full-length shows. The Watch tab and the work we've done in the today feed to get people to watch video more and go to that tab is all just kind of part of that broader effort to get more engagement with more and more of the journalism in video. In addition, by the way, to reading and listening, neither of those things are going away. In the Watch tab specifically, I would say it is early days on your question about advertising. The most important thing we can do is get lots and lots of people to engage with our video on platform, in the tab and off-platform. And the more we do that, the more opportunity, I think, it opens up across all of our revenue lines. So I'm sort of long term optimistic about that. On your question about single product subscriptions and games, we are really pleased with the strong net adds growth in the quarter, and I would say it's kind of a strategy working as it's designed to do. We've got multiple growth levers, including games that are all going to play different roles in sort of different quarters and games definitely played a role here. On the MINI specifically, which I think you asked about, the idea here is that we were pretty intentional about long-term value creation in the case of the MINI, our decision to make that a paid subscription, very intentional one. We believed and it's proven to be the case that we would do it in a way that did not sacrifice in a big way, engaged audience. So we feel great about that. And the idea here is that we've got sort of multiple ways to monetize across the portfolio, including in games. And what we're optimizing for here is having the widest possible audience for all of our work, in this case, games and also having plenty of reasons for people to feel like they should pay. And you could sort of extrapolate that to the kind of broader theory of how we make free pay decisions across the enterprise. I think the thing to know on games is we are always adding value to the portfolio. We've got a robust pipeline kind of at all times of new games in development and a very good track record here, and we're just excited about the opportunity.
Operator: And the next question goes from -- goes to Kutgun Maral with Evercore ISI.
Kutgun Maral: Two, if I could. First, advertising continues to be an area of strength in the quarter, and you expect the momentum to carry into the fourth quarter. I know you called out marketer demand and new advertiser supply, but can you unpack the dynamics there a bit more? How much of this is attributable to the underlying market compared to uptick from some of the new product innovations that you've been actively rolling out across the portfolio? And second, on affiliate licensing and other revenues, you had a healthy third quarter. Is there anything more you can share on Q4 and the outlook for the slight deceleration in growth to mid-single digits? I know we're not talking about 2026 just yet, but I was hoping for more color, especially in the context of the Amazon AI partnership.
Meredith Kopit Levien: Why don't I take the advertising question, Will, you'll take the one on other revenue. Look, I think the first thing to say is we're really pleased with what we saw in the quarter and frankly, so far all year. And it's a little bit of everything working to answer your question directly. The big picture here is we kind of see the ad business increasingly like we see the consumer business. The consumer strategy is to mean more to more people. And in advertising, we're kind of providing more value to more advertisers in more ways. So we've got these really big products in big spaces where there's lots of consumer interest, especially in news and I would say games and sports but also shopping and cooking. We have lots of engagement for all of those products, which allows us to really effectively target people at scale. We have great ad products. By the way, we've been at that targeting and at those ad products for many years now, very deliberately building first-party data, very deliberately building a suite of proprietary ad products. And we're continuing to sort of extend those across the portfolio. And we keep innovating in our ad products. So our AI-powered brand match, which I think we launched a year ago is really also helping on the targeting front. All of that means we've got ad products that work, and I think we're executing well. So the sort of broad answer is it's a little bit of everything that you're pointing to.
William Bardeen: And then on affiliate licensing and other and the dynamics there, it's just always important to remember that, that revenue line has a lot of different items that can both create some variability quarter-to-quarter as well as make it difficult to isolate the contribution of any one particular item. And so we've said this in the past, it's obviously not just affiliate. And licensing, it's multiple licensing deals there. It's booked TV film, it's commercial printing. So a lot of different dynamics. And I think the most important thing to say there, looking forward, not just Q4 but into the future, as you said, is just given our strategy to make our news journalism and product portfolio more valuable to more people, we expect this revenue line to grow over the long term as part of our multiple -- our multi-revenue stream model.
Operator: And the next question comes from Doug Arthur with Huber Research Partners.
Douglas Arthur: You didn't break out The Athletic as promised. Any color on it? Was it additive in line? Any color would be helpful.
Meredith Kopit Levien: Doug, I'll just say we continue to be very pleased with the performance of The Athletic. It remains on track for all the things we wanted to do. I mentioned in my remarks, sort of consistently strong engagement across the portfolio and the addition of video in lots and lots of places. I think this was the quarter where we introduced NFL footage. We already had NBA footage. We introduced NFL footage, and we're combining that with our signature journalism and our reporting, and I think that's a great product experience for engagement. NFL is a huge part of what The Athletic covers. And we're continuing to build audience and awareness for the brand, Athletic. And I would just say it's all going well, big contributor in advertising, all going very, very well. And it's still early.
Douglas Arthur: Excellent. Just as a follow-up on the surge in single product subscribers. Are you getting the conversion of those over time that you expect? I mean, how is that playing out to higher-value products?
Meredith Kopit Levien: I think the best way to describe it is we really -- it's really the model working kind of as it's designed to work. Our single products are serving as a wonderful engine of audience and engagement and in many instances, or funnels to get people to subscribe either to the individual product or to the bundle. That's all kind of working as we expected it to. And they're also all proving to be very valuable to the sort of multi-revenue stream monetization. I've called out games and sports, in particular, as being big spaces that marketers see real value in and want to be around. And we have on games, scaled audience, lots and lots of people who play our games. And in The Athletic, we are really growing the audience. So we see a big opportunity there. But I would say it's all kind of going. It's all working as it's designed to as far as driving subscription, advertising and ultimately, the whole model.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Anthony DiClemente for any closing remarks.
Anthony DiClemente: Well, thanks, everyone, for your interest and for joining us on the earnings call. We'll see you next quarter.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.